Operator: Good morning, and welcome to the Second Quarter Conference Call for Graco Inc. If you wish to access the replay for this call, you may do so by dialing 855-859-2056 within the United States or Canada. The dial-in number for international callers is 404-537-3406. The conference ID number is 9785074. The replay will be available through 2:00 PM Eastern Time, Thursday, July 29. Graco has additional information available in a PowerPoint slide presentation, which is available as part of the webcast player. At the request of the company, we will open the conference up for questions and answers after the opening remarks from management. During this call, various remarks may be made by management about their expectations, plans and prospects for the future. These remarks constitute forward-looking statements for the purposes of the Safe Harbor provisions of the Private Securities Litigation Reform Act. Actual results may differ materially from those indicated as a result of various risk factors including those identified in Item 1A of the company's 2020 Annual Report on Form 10-K and in Item 1A of the company's most recent Quarterly Report on Form 10-Q. These reports are available on the company's website at www.graco.com and the SEC's website at www.sec.gov. Forward-looking statements reflect the management's current views and speak only as of the time they are made. The company undertakes no obligation to update these statements in light of new information or future events. I will now turn the conference over to Kathy Schoenrock, Executive Vice President, Corporate Controller.
Kathy Schoenrock: Thank you, Shannon. Good morning, everyone. I'm here this morning with Mark Sheahan and David Lowe. I will provide a brief overview of our quarterly results before turning the call over to Mark for additional discussion. Our conference call slide and our second quarter Form 10-Q are on our website and provide additional information on our quarter. Yesterday, Graco reported second quarter sales of $507 million, an increase of 38% from the second quarter of last year. The effects of currency translation added 4 percentage points of growth, or approximately $12 million in the second quarter. Reported net earnings were $110 million for the quarter, or $0.63 per diluted share. After adjusting for the impact of excess tax benefits from stock option exercises, net earnings were $108 million, or $0.62 per diluted share. Gross margin rates were up 220 basis points from the second quarter of last year, as a favorable effect from realized pricing, increased factory volume, product and channel mix and currency translation offset the unfavorable impact of higher product costs. Mix was favorable in the quarter, due to the strong sales in the higher margin Industrial segment. Supply chain constraints, such as logistics capacity and component availability, had an unfavorable impact in the quarter and will likely persist for the rest of the year. On a sequential basis, gross margin rates were down 250 basis points, as we saw cost pressures, such as material, labor, freight and volume-based costs increased throughout the quarter. The majority of these cost increase impact the contractor segment, as that is our highest volume business. We also saw unfavorable mix on a sequential basis due to projects in Asia-Pacific in the Industrial segment. At current cost and volume, we are estimating that realized price, strong factory performance and current production activity will offset the higher product costs on a full year basis. Our operating teams are working diligently to minimize the disruptions and have been effective at keeping pace with our incoming order rates. Operating expenses increased $27 million or 26% in the quarter. Sales and volume-based expenses increased $18 million against a very low comparable in the prior year. New product development and currency translation rates each increased operating expenses by $3 million. The adjusted tax rate for the quarter was 18%. Cash flows from operations are at $220 million for the year, compared to $143 million last year. This increase is due to the improvement in earnings in the quarter, partially offset by increases in accounts receivable and inventories that reflect the growth in business activities. Significant uses of cash are dividend payments of $63 million and capital expenditures of $55 million, including $21 million for facility expansion projects. A few comments, as we look forward to the rest of the year. Based on current exchange rates, the full-year favorable effect of currency translation is estimated to be 2% on sales and 5% on earnings with the most significant impact having occurred in the first half of the year. We expect unallocated corporate expense to be approximately $30 million and can vary by quarter. Our full year adjusted tax rate is expected to be approximately 18% to 19%. Capital expenditures are estimated to be $150 million including $90 million for facility expansion projects. Finally, 2021 will be a 53-week year with the extra week occurring in the fourth quarter. I'll turn the call over to Mark now for further segment and regional discussion.
Mark Sheahan: Thank you, Kathy and good morning, everyone. All of my comments this morning will be on an organic constant currency basis. Sales in the second quarter grew by double-digits in every segment and every region. Broad-based growth for the quarter and for the year continued in all major product categories resulting in record quarterly sales and operating earnings. I would like to thank all of our employees, suppliers and distributor partners who continue to work long hours keeping up with customer demand, while navigating logistical and supply chain challenges. Growth in Contractor continues. This is its fourth consecutive quarter with near 30% sales growth. The residential construction and home improvement markets have been strong in North America. Demand in EMEA and Asia-Pacific has accelerated resulting in sales exceeding pre-pandemic levels. We are optimistic that incoming order rates will remain good in all regions during the second half of the year. However from a growth rate perspective, our comparisons become much more difficult due to the large increases experienced in the second half of last year. The Industrial segment grew substantially during the quarter and for the year with sales volume either near or exceeding pre-pandemic levels in all regions. Quoting activity increased throughout the quarter as many of our key end markets continue to recover. Incoming order rates remain elevated as the pace of business accelerates worldwide. Process segment sales grew 29% for the quarter and 17% for the year. Similar to Industrial, sales volumes were also either near or exceeding pre-pandemic levels in all regions. End market growth remains broad-based with key product categories up for the quarter. The strong recovery in both our lubrication and process pump businesses drove sales and earnings growth for the quarter in the segment. Moving on to our outlook. We have reinitiated our revenue guidance for the full year 2021 and are projecting mid to high-teens revenue growth on an organic constant currency basis. Incoming orders continue to be robust in all regions with the Industrial and Process segments now on a solid footing and should finish the year strong. Favorable operating conditions remain in Contractor. However, second half comparisons are challenging. Operator, we're ready for questions.
Operator: Thank you. The question-and-answer session will begin at this time. [Operator Instructions] Our first question comes from Matt Summerville with D.A. Davidson. Please state your question.
Matt Summerville: Thanks. Good morning.
Mark Sheahan: Good morning, Matt.
Matt Summerville: I think -- some of the supply chain concerns out there Mark are you seeing customer behavior indicative of over-ordering, overstocking can you maybe speak to that? And then also maybe comment on where exactly you have the largest supply chain-related bottlenecks right now? What your greatest areas of concern might be? Thank you.
Mark Sheahan: Yeah, Matt. It's hard to say that there is none of that happening in terms of people ordering in advance and trying to get ahead of the curve. So I would speculate that some of that is happening, but we haven't been able to quantify it. I don't think that's a real big concern for us. I think we're experiencing really the same things that all other industrial companies are experiencing. We haven't really seen anything with respect to Graco that's too dissimilar from what we're hearing from our competitors and what we're picking up from the channel partners that we deal with around the globe. We're having supply chain issues across the business. So I don't want to understate what's happening in terms of like Industrial and Process. But for sure in the Contractor business, where the demand – and even out-the-door sales demand has still been very robust. That's an area where I think we've seen the most pressure year-to-date. The channel partners that we deal with I think at this point are still hoping to get their inventories up a little bit from where they are at today. And so as we're able to deliver more product to them hopefully that situation gets better.
Matt Summerville: Got it. Thank you.
Mark Sheahan: Yes.
Operator: Our next question comes from Deane Dray with RBC Capital Markets. Please proceed with your question.
Deane Dray: Thank you. Good morning, everyone.
Mark Sheahan: Hi, Deane.
Deane Dray: Hey. Love to stay on this topic. And we got the qualitative commentary that's helpful. But can you provide any specifics on input costs and broadly the price cost? You've always been good about getting price between 1.5% and 2%. How much of that has come through? And then how does that – how much of a headwind has higher input costs been in the quarter in terms of the margin impact this quarter?
Mark Sheahan: Yes, I'll take a shot at it. And then Kathy and David are here as well and they're welcome to join in. We are realizing price gain I would say more or less in line with what we had expected to realize when we put our price increases through. And overall, I think as Kathy said, for the year we expect that price costs were going to be in good shape. We're seeing the same cost pressures that everyone else is. They're coming everywhere steel, aluminum, copper, plastics those are key components in Graco products. And some of the components that we buy also like electronics and motors and engines and even like subcontract premiums that we pay to folks that help us out when our demand spikes up, those are all much higher. Freight costs are higher as well. So I think that as we head into the second half of the year the real thing that we need to have happened is the continued strong business demand. And that's – right now it appears to be the case. If there's a tick up or a tick down in our factory volumes then cost could be not as big of an issue, if it ticks up or it could be more of an issue if volumes tick down. But we feel like we're in pretty good shape. And I don't know, if you guys have anything else you'd like to add. But...
Kathy Schoenrock: No. I think that summarizes it really well.
David Lowe: Yeah. This is David Lowe. I would agree that, I think the challenges that we have are manageable and that the areas of pressure are not unique to us. I guess the only thing I would add is our business model is – as all of you know is a part of a lower volume high mix model and with 65,000 SKUs or more. Our sourcing people and our manufacturing people are used to being and have a lot of experience being nimble to meet the kind of service levels that we want to have. So this is more challenging than usual but not unknown to the organization.
Deane Dray: Got it. But you just – it doesn't sound like you got a number that you'll share on what if you roll out that input cost pressure. How much of that impacted margins this quarter?
Mark Sheahan: Not by the quarter. I think what we have said is for the full-year, we expect it to be neutral at current volumes.
Deane Dray: All right. So second topic is just to get some further color if possible on the fall off in contractor on a monthly basis. It really does jump off the page at you. And I also appreciate on a two-year stack, you're still up 30%. So this is – there's still good underlying growth versus pre-COVID. But just characterize the monthly progression and what does that say about July?
Mark Sheahan: Yes. I think when we look at what we're actually seeing for incoming orders from our customers that are coming into the factory, it's been pretty consistent through June and July, so far from what we've experienced for the first part of the year. Obviously, the comps just get tough. And so that's why the percentages look funny.
David Lowe: And I think looking back at the schedule from second quarter last year, you see the point that Mark is making pretty dramatically. I don't have the chart in front of me now but April and May were very soft. And then we saw a sharp, it' something like 25 or 26 percentage points in contract revenue in the month of June last year.
Deane Dray: That's helpful. And just last a comment for you. It's just great having you in the CEO seat. I'll miss Pat, but nice transition and great to have you CEO. Thanks.
Mark Sheahan: Thank you very much.
Operator: Thank you. Our next question comes from Andrew Buscaglia with Berenberg. Please state your question.
Andrew Buscaglia: Hey guys. I wanted to follow-up on that Contractor question. June like Deane said June really kind of decelerated there. But is there anything around us where you, where June should have been maybe higher but you're just having some trouble meeting that demand? I'm just trying to get a sense of going into July if those sales will go negative albeit at very high levels.
David Lowe: Yeah. I think that for the most part what I said about the absolute level of orders coming into the shop have been pretty consistent. And our ability to get product out is constrained by some of the supply chain issues that we've talked about. And they have accelerated a bit. So, when you look at our ability to actually deliver that's something that the team is working very hard on and I think it's going to remain challenging. But the encouraging thing and the thing that we were probably the most concerned about going into the year was, would we see a significant step-down or a step-down in orders coming from customers around the world as we sort of lapped the pandemic spike that we had last year. And as we sit here today, we have not seen that so that's really encouraging.
Andrew Buscaglia: Okay. Interesting yeah. And sticking with Contractor the margins are obviously facing tough comps versus last year. But you really called out more so these are kind of adverse impacts in Contractor versus the other segment. So is there something specific in Contractor that's I don't know that's different from the other segments that's impacting those margins?
Kathy Schoenrock: Yeah. This is Kathy. Our other segments are what we would really point to as our low-volume businesses high mix low volume.
Andrew Buscaglia: Okay.
Kathy Schoenrock: And then Contractor that's the one business where we do have higher volumes meaning higher quantities of units that are being sold. That's really the driver of the more significant impact in that business.
Andrew Buscaglia: Okay. Makes sense. Okay. Thanks guys.
Mark Sheahan: Yes.
David Lowe: Yes.
Operator: Thank you. Our next question Connor Lynagh with Morgan Stanley. Please state your question.
Connor Lynagh: Yes. Thanks. Just wanted to stay on the topic of supply chain. So it certainly seems like you've been building inventory. Obviously, you've also been seeing substantial growth in the business. Just curious how you would characterize it. Are you building excess buffer inventory that you expect to monetize later this year or next year? Is that just a function of the higher cost of inventory or is there something else going on there?
Mark Sheahan: I think the inventory increase has been somewhat reflective of the business levels. And obviously, as our Industrial and Process businesses picked up compared to, where they were at the beginning of the year or let's say in Q3 or Q4, when we were actually not seeing a lot of throughput in the factories and now producing goods I mean the inventory levels have come up from that standpoint. So it feels to us like it's a natural increase. There isn't anything really funny going on there. Of course we're trying to get ahead of the curve like everyone else when it comes to some of the key components that go into our products. And I think, we did a good job of that early on this year pre-buys and some of the categories that were mentioned to stay ahead of things. And given our cash position and ability to execute on those, I think that those decisions paid out well for us. Obviously, our inventory is high. We all know that but we have really good levels of customer service and support that's needed. And there isn't really anything strange going on there from my view.
Connor Lynagh: Yeah makes sense. Makes sense. Just on that sort of low turn portions of the business I guess what I'm wondering is as we think about back half this year or maybe 2022 how long is the lag in most cases between your raw materials purchases and your sale? In other words, is there a margin pressure that we should think about, in relation to that or are you feeling good about where the prices are versus where you purchase things?
Mark Sheahan: I think we're yeah I think we're pretty good. I mean our throughput is quick. For the most part we don't let things sit around terribly long. As Kathy mentioned I think in her opening comments we have seen the impacts of the higher costs coming into the factory now that maybe we didn't see quite so much of in late last year and early this year. But as we roll forward our forecasts and we kind of look at how we think the year is going to play out we feel pretty good about where things are lined up.
David Lowe: Yeah. And I would just add to Mark and Kathy's comments that given the – I'll call it the Process and the Industrial divisions are skewed to the lower volume higher mix. And with the call it the order trends that we see, the overall strength in those segments globally it's very reasonable that we would be adding – getting ready to fulfill the demand that seems to be very evident in the business and sustainable.
Connor Lynagh: Very helpful. Thank you.
Operator: Thank you. Our next question comes from Saree Boroditsky with Jefferies. Please state your question. Saree, your line is open. Please check your mute button.
Saree Boroditsky: Hi. Sorry about that. The outlook, which is almost all green is one of the most bullish you've been certainly over the last several years. Given your positive outlook and expectation for incoming orders to continue to be robust in some of the supply chain issues you talked about, could you tell us how you're starting to think about 2022? I know it's early, but I think given everything you help us get a sense for demand profile from here?
Mark Sheahan: It's hard to know, but right now things look really good. And I – unless something changes in the world that we don't know about, I don't really see a major inflection up or down as we head into 2022, I think it should be a decent year.
David Lowe: Yeah. I would just add. Yeah, we're – as you well know we're a pretty short cycle business and we serve a lot of different industries, so it's hard to generalize. But when you read the macro picture in construction certainly here in North America, and overall levels of economic activity, and despite maybe hiccups from time-to-time related to pandemic, factories are open, salespeople are out in the market calling on customers like they were doing before those problems began. And the overall feedback we get from the field is as Mark alluded to at least makes us feel very good as we look ahead as far as we can look ahead.
Saree Boroditsky: Thanks. That's helpful. And then just another question on Contractor. Obviously, margins took a step down versus the first quarter. It's pretty inconsistent with normal seasonality. Now, it looks like you had some elevated expenses and earnings-based incentives. But could you just provide some color on performance there? And how should we think about margin performance for the remainder of the year given the more challenging top line comparables in that segment?
Mark Sheahan: Yeah. I think that, we tend to look at things maybe on a bit longer-term basis than what our quarterly results might show. So there's always noise and volatility. But when I look at, where they're at year-to-date, I feel pretty good about the absolute level of operating profit performance. And I think that they're set up for a good second half as long as the volumes continue to stay where they're at. For sure, when we started the year none of us really knew, a, how strong the business would be, and whether it would be sustained throughout the full year. And so as we got through Q1 and now into Q2 it became more apparent to us that volumes are strong. We need to make sure that we're reflecting that in our variable costs and expenses, which include incentives and rebates and programs that we do with our key distributors around the world. So as long as that kind of stays at the current pace I think that we're in good shape. And we should be setting up for a pretty good second half of the year.
Saree Boroditsky: Great. Thanks for taking my questions.
Operator: Thank you. Our next question comes from Mike Halloran with Robert W. Baird. Please state your question.
Mike Halloran: Hey. Thanks everyone. So just following up on that then Mark, when you think about the back half of the year here, does the incentive comp then start normalizing a little bit as those comps start normalizing which means that the run rate from the second quarter isn't quite accurate but maybe the combined 1Q, 2Q as you flatten things out that maybe is a better thought process to think about how back part of this year and into next year starts playing out on the margin profile in Contractor?
Mark Sheahan: I mean, I think we're in good shape right now as we sit here today. And none of us really knows what volumes are going to be to be honest with you. As I think Pat once said, our crystal ball is like a bowling ball. We live and die by the weekly and monthly bookings and billings that are coming in. But as we sit here right now and what we see coming in and how we feel about the business and where we're positioned, I do think that we're in good shape. Of course, what's going to happen now in the back half of the year in terms of like a comparison to last year is that CED as we all know ran really hard in the second half of the year. So in terms of where their incentive accruals are and where the growth accruals are for our customers and those types of things really depend on where their volume comes in. And the other businesses are running hot. So we are anticipating that people are going to get back on the road. They're going to start spending money. We're going to do trade shows again. So there would likely be some incremental spending in the back half in Process and Industrial that wasn't there. But those should all be justified by the level of business coming in. And as long as we're seeing the kinds of orders and the level of activity that we got going on right now I think we're comfortable in spending those dollars.
Mike Halloran: Thanks for that. And then a lot of moving pieces here. Comps are wonky obviously which almost make it seem like not real numbers. So when you strip back the noise a little bit and you think about how sequential patterns of work through the quarter and how you're envisioning things are working through the back half of the year on a sequential basis. When you're thinking about the three segments how would you compare that to what a normal seasonal curve would look like from an outlook perspective? Pretty in line what kind of variances are you seeing anything along those lines?
Mark Sheahan: Yeah. I think pretty normal, if you were to strip out all of the noise that's in there. Obviously, our outlook is probably a little -- from a growth rate perspective is probably stronger in the businesses that were weak last year versus what we might experience for CED. CED is really the only business that I would characterize as being seasonal. And they typically do have their strongest quarters in Q2 and Q3, if you look back historically. And at least as we sit here right now like we said a couple of times Puerto Rico look pretty decent and absolute demand sort of fits back that overall pattern. On the other businesses, there isn't a ton of seasonality. It might be like one or two percentage points if you went back historically and looked at how much Industrial contributed first half versus second half. Second half is a little bit stronger, but it's probably not worth even screwing around with the math.
Mike Halloran: And then last one for me if you don't mind. The CapEx side, capital deployment side in general. How are you thinking about it? Obviously, CapEx seems like you've pulled a little bit forward into the facility side. And then any comment on that? And then also how you're thinking about the M&A outlook just capital in general?
David Lowe: All right. This is David. I'll try to comment on both those topics. On the CapEx side, yes, the company as you know has been aggressively investing in really new facilities and plant and equipment to improve productivity et cetera for several years now. We announced our investment in a new manufacturing facility next to Rogers Minnesota. And we're in the process of breaking ground on that. And we're hopeful that that can all come together in the next 12 to 15 months. So that is going to be a very big investment for us and where most of the money that Kathy is talking about is going. But along with that throughout the last year, all of the operations have continued to come forward with investment proposals that make sense. They have offer improvements to the business that generate ROIs that we feel are justifiable. And it's been -- quite frankly, it's been a busy time reviewing all the proposals from the facilities. So I think that what we're communicating is really consistent and bringing our expectations up-to-date. I guess, I would add -- switching gears to the M&A environment that you folks know a lot about. And I guess I'd been involved in recently from the operating side. It's an extremely active market as you're aware. There's lots of proposals floating through some smaller ones that we look at and act on an ongoing basis and some bigger ones. As a -- I guess as a former operating person, I would say that the challenge to the current process is of course we're willing to move forward. But when we look at the processes on the -- especially on the bigger transactions that tend to be auction environments which is usually a seller-friendly decision in the process people expect to move very, very quickly which is fine and we're familiar with the market maybe not so fine when we have to go to school and learn some things. And then I think lastly we continue to be I would say impressed by the multiples of some transactions that we see in the marketplace. And we know -- we understand the dynamics of the marketplace cost to capital and so forth. But historically we've been I think reasonably disciplined and that's something that I would expect would continue to be the case.
Mike Halloran: Okay. I appreciate the thorough answers everyone. Take care.
Mark Sheahan: All right. Thanks Mike.
Operator: Our next question comes from Hammond with KeyBanc. Please state your question.
Jeff Hammond: Hey. Good morning.
Mark Sheahan: Hey Jeff.
Jeff Hammond: Just on the new segment reporting change, can you just help us understand better what's driving that strategically? And I think you talked in the release about kind of line up customers distributors et cetera, but maybe just expand on that change?
Mark Sheahan: Yes. Sure. So, we're really doing this to improve our ability to drive profitable organic growth. That's what it comes down to. And when you look at the pieces here that, the move really is combining our contractor-focused businesses all under the contractor group. Historically, some of that's resided in the industrial segment and that has led to some overlap with regard to customers, salespeople, et cetera, and down the engineering fronts as well. So, we think putting the teams together is going to create some synergies and some better collaboration. And obviously, both groups are important to us. But having them housed under one management team I think is a good move. And then the other pieces that are also being combined I guess that weren't necessarily called out but they're the ones that are left in the businesses after we pull out HPC off are the advanced dispense part of our Industrial business which is really our steel and adhesive composite electronics type business along with our liquid finishing. And again those two businesses they really sell through common distributors. They have overlap and salespeople. The technical aspects of the product lines are actually quite similar and the selling process is also similar. So, we think that putting those two groups together again will help us energize some organic growth and maybe get some more leverage out of the growth that we do get.
Jeff Hammond: Okay, that's helpful. And then just a second one. So, industrial margins I think stepped down sequentially and I think you talked about mix. Just as you kind of look at the regions and look at the type of projects that are coming in how do you kind of see mix into the second half for industrial things?
Mark Sheahan: Yes, the project business is good. The pipeline is solid. So, I would expect that we'll have more project business both being booked and hopefully build as we work our way through the year. A lot of times they are lower margin, but a lot of times they also carry some high margin Graco products in them. And then once they get installed obviously you get the customers coming back for help parts accessories new projects things like that. So, this is a pretty healthy, healthy environment.
Jeff Hammond: Okay great. Thanks Mark.
Mark Sheahan: Yes.
Operator: Thank you. Our next question comes from Bryan Blair, Oppenheimer. Please state your question.
Bryan Blair: Thanks. Good morning everyone.
Mark Sheahan: Hi Bryan.
David Lowe: Good morning.
Bryan Blair: Somewhat of a follow-up on Matt's lead off question. When I was through the cycle, your parts and accessories mix is pretty consistent around 40%. Given the uniqueness of today's environment the pervasive supply chain uncertainty some of the order flow that's stemming from that was that percentage notably different than the second quarter?
Mark Sheahan: No, it's the same. It's amazing how it hangs in there, but it's very consistent.
Bryan Blair: Okay, that is very interesting. Follow-up higher level question in terms of outlook specifically for the contractor segment. Your team has been bullish on the housing market for quite a while and correcting that. And Mark, you detailed all the favorable macro factors last quarter, some of them were reiterated on this call. You even cited the Freddie Mac study of 3.8-plus-million undersupply in housing all very favorable. Wondering if anything that's taking place now, specifically, in terms of affordability and literally the ability of the incremental buyer to move forward whether that affects your team's outlook in that regard?
Mark Sheahan: Not at this point. It's definitely worth keeping an eye on. Obviously, it costs a heck of a lot more to build a house today than it did a year ago. But, again, the macro dynamics are still fairly favorable and we haven't really seen anything translate into activity with our painting contractors or the other parts of our business. As I said before, the incoming order rates still look good. Most of the painters that we talked to, they've got a good backlog of jobs. I was recently actually trying to get somebody to do some work at my place. And it's -- they're backlogged and you just can't get -- you can't get good people. And I think it's the same thing on the housing side. If you want to build a house now, you're looking out quite a ways there. I believe there will be a break in some of the cost pressures that they're seeing for building materials. And I think you've already seen this -- start to see a little bit of that. And as we work our way through the year, hopefully, that opens things up a little bit. But we're still very bullish long-term cyclically on that part of our business.
Bryan Blair: Okay. Excellent. One final one, if I can. David alluded to limited due diligence time on certain M&A prospects. With the vaccine rollout, the ability to travel, etcetera, is that leading to more activity in your funnel and perhaps pulling forward some prospects?
Mark Sheahan: I don't know that we've seen that. I think what David was alluding to, and he can give you more color if he wants, was we were seeing last year during the pandemic that you would have companies come to the front and no due diligence, no boots on the ground, it was all done virtually. And unless you were intimately familiar with their organization or the industry that they're in, or the competitive nature of their business and all those things, it would be very difficult to probably get yourself comfortable with the kinds of premiums that were out there in the marketplace. I think going forward, as you know, people get vaccinated and factories open up and companies are more welcoming, that should help the dynamic on the due diligence side going forward. David, you're welcome to...
David Lowe: No. That's exactly what I was talking about. It's definitely one thing to assess a business that we have a high level of familiarity with. We know the products and the channel and so forth. And maybe, in the cases of certain businesses, certainly, maybe the bolt-on businesses, to some degree, if they're familiar to us, the level of compatibility of the acquired management maybe has a different level of importance. I was thinking of one specific case where we looked, at an industry that potentially was of great excitement, but it was definitely outside of my competency at least, coming from the Industrial and the Process side of Graco. And it was really going to be important to assess the compatibility and the staying power of the management group. And there simply was no time for me to -- in those circumstances to go meet the people face to face and participate in any reasonable way on the timetable they were insisting that the process be conducted with.
Bryan Blair: All makes sense. Very helpful color. Thanks again.
Mark Sheahan: Yes. Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from Brett Kearney with Gabelli Funds. Please state your question.
Brett Kearney: Hi, guys. Good morning. Thanks for taking my question.
Mark Sheahan: Yes. Good morning.
Brett Kearney: Just had one this morning and you kind of covered it in your comments early on, Mark, the broad-based demand outlook. But just curious, Aerospace in particular, if you could just remind what part of the business, I guess, from a sales perspective, that accounts for today and whether that day is included in kind of the growth profile outlook you have across the majority of the industrial businesses?
Mark Sheahan: Yes. Of course, we're in like a lot of different end markets. Aerospace is definitely one of them. And that business has been soft, as you might expect. It's in our Industrial segment. It's really where we serve that industry primarily, our liquid finishing group. I think also our adhesive group gets involved to a lesser degree there.
Brett Kearney: Okay. And the outlook going forward, just kind of in line with the overall Industrial segment?
Mark Sheahan: Well, I think that the outlook for aerospace is probably better today than it was a year ago with people getting back on airplanes and starting to place orders again. Again, I don't feel that it's a meaningful driver for Graco's business. It's one of many key markets that we participate in.
David Lowe: Yeah. And I guess the way I would say it, if a person's -- I don't know, if I'm speculating about the intermediate term, I think Mark's point is when we look at the strength of, let's say, automotive manufacturing, the Tier 1s, a farm, construction equipment, the wood market and so forth, on a relative basis, those carry a lot more weight than one single market space like aerospace.
Brett Kearney: Yeah. That's very helpful. Thanks so much.
Mark Sheahan: Okay.
Operator: Thank you. Our next question comes from Walter Liptak with Seaport Global Securities. Please state your question.
Walter Liptak: All right. Thanks. Good morning.
Mark Sheahan: Good morning.
Walter Liptak: I want to see, if there is a way of talking about the project work is sort of like longer cycle systems. And if during the quarter, you saw more projects kind of entering into sort of quoting or project development. And I'm trying to understand if these are longer cycle delays, that is a step that you're working on that longer cycles that shift in the second half or are you starting to build out project work for 2022?
Mark Sheahan: Yeah. I think for sure, our core activity is way up from a year ago. And I'm talking mostly on Industrial and Process again and also our powder coatings business, the game of business. And it really depends on the type of project. Some of them they lap over from one year to the next. The majority of them, they're probably three to six months in terms of the timing. And they haven't really gone through and done an analysis of how much is actually going to bill in the back half of the year. But I think the takeaway from our standpoint is that, there's more people out there. They're looking to deploy capital. There's a lot more good projects out there and we should see the benefit of that.
Walter Liptak: Okay. And how do you protect yourself with material inflation on those longer cycle?
Mark Sheahan: Yeah. We do a pretty good job of quoting and estimating as you probably can imagine. And to the extent that we've got components or things that we're concerned about, we'll either buy those ahead or we build in some of that pricing into our project business. Project business is a little bit different than like our normal price increase, right. So, our normal price increase that we do annually that covers a lot of our standard components and those types of things. But when you're doing a project, you need to have a little bit more leeway in terms of building some of that price cushion in.
Walter Liptak: Okay. Got it. And I've always thought of this, the project work has been like high ROI, like powder system or adhesive system or whatever goes in that the customer gets a payback in a year or two. But with the price increases and inflation, is there a point at which the ROI has gone down enough where projects push out? Is there any concern about that?
Mark Sheahan: No, we haven't seen that.
David Lowe: I would say that maybe offsetting the risk of that is that the things that a new system would help a manufacturer with maybe in the area of labor savings and material savings. That's where inflation actually may help the ROI.
Walter Liptak: All right. Okay. Sounds good. Thank you.
Operator: If there are no further questions, I will now turn the conference over to Mark Sheahan.
Mark Sheahan: All right. Well, thank you so much for participating in this conference call. And we'll see you on the road or we'll talk to you next time.
Operator: This concludes our conference for today. Thank you all for participating and have a nice day. All parties may now disconnect.